Mathias Meidell: Hi, and welcome to Hexagon Purus Q4 2024 Presentation. My name is Mathias Meidell, and I am the IR Director of Hexagon Purus. I will be moderating from the studio in Oslo today, and from the studio, I am also joined by Group CEO, Morten Holum; and Group CFO, Salman Alam. The agenda for today includes, as usual, the highlights from the quarter, a company update, the financials and the outlook. We will end the presentation with a Q&A session. So please feel free to enter your questions via the function on your screen. And with that, I will pass the word over to you Morten, who will take us through the highlights of the quarter.
Morten Holum: Thank you, Mathias, and good morning, everyone. Thanks for joining our webcast this morning. We achieved much of what we set out to do in 2024. Firstly, we continued to move the company forward growing full year revenue by 42% versus 2023. Secondly, we significantly improved the EBITDA margin. We had two quarters of positive EBITDA margins in the Hydrogen Mobility & Infrastructure segment and almost achieved full year EBITDA breakeven for that segment. Thirdly, we completed the multi-year capacity expansion program, giving us a global manufacturing footprint with significant capacity to grow revenue. And lastly, we continued to solidify our position with customers, building a diversified portfolio across several applications. So let's look at that strong revenue growth in more detail. Revenue for the year was close to NOK1.9 billion, up from just over NOK1.3 billion in 2023. That's a 42% increase, albeit short of the 50% target that we set. LTM EBITDA improved another percentage point in Q4 to minus 19%, which is a full 15 percentage points year-over-year improvement and in line with our expectations. Looking at the quarter, revenue growth in the fourth quarter was modest, 8% year-over-year. We had more volume in the order book going into the quarter but around NOK100 million of planned revenue was pushed into 2025. About half of that was customer-driven, so scheduling later delivery and the other half was related to orders that we had in process but that for different reasons we were not able to complete in time for the revenue to be recognized in the quarter. Moving on to the full year revenue bridge. Growth in 2024 was roughly equally split between hydrogen infrastructure and hydrogen mobility. On the infrastructure side, we saw strong demand from both the traditional industrial gas players like Air Liquide and Linde, and from the emerging green hydrogen players like Lhyfe and Plug Power. We also got a positive contribution from higher sales of mobile refueling and stationary storage units compared to last year, although from a fairly low volume base. On the hydrogen mobility side, the growth was driven by higher activity for transit bus, mainly for our European customers and heavy-duty truck with deliveries to Nikola in North America. We had limited revenue in BVI in 2024 but did deliver the first five battery electric trucks to Hino in Q4. The revenue decline in other applications was mainly due to deliveries within industrial gas and aerospace. And as I mentioned in previous quarters, revenue moves up and down a bit between quarters in aerospace and these movements are normal timing effects in what is inherently a profitable but somewhat lumpy business. So overall, a solid year with further improvements delivered. So what do we see going forward? The broader energy transition is developing slower than expected in Europe and in North America and as a result, the market for zero-emission technologies is also developing slower than anticipated. Clean energy production is not growing as quickly as planned due to cost inflation and regulatory hurdles. There's still a healthy pipeline of projects despite many more of the planned projects being canceled and most of those that are moving ahead take longer than planned to complete. There are also delays in the build-out of the required infrastructure, to support the adoption of zero-emission vehicles for much of the same reasons; higher cost, lack of incentives and consistent regulatory support. We see charging stations for light-duty vehicles are starting to get traction in some markets including here in Norway, as an example, but it's a lot less mature on the hydrogen side. There are several players that are building refueling stations both in Europe and in North America, but this is unfortunately not yet at the scale that supports mass adoption in the near to medium term. So, we need more hydrogen to be produced and we need a network to make those hydrogen molecules available, where people can fuel their vehicles. Until then, adoption will be slow and concentrated around smaller geographical clusters, where availability is already there or where you can organize captive fueling like transit bus depots. And the recent outcome of the US presidential election has not helped. In fact, things suddenly took a turn for the worse, after the election. The new administration is attacking clean energy initiatives established under the previous administration, pulling the US out of the Paris Agreement and attempting to roll back regulatory measures that support clean mobility. This has had a very rapid negative impact on the near-term demand and market outlook for zero-emission mobility, in North America. Whether they will be successful in reversing everything is debatable, but regardless, the damage for the near-term demand, is already done. And in light of all the uncertainty created, customers are sitting on the fence, they are not making purchasing decisions. The initial actions since inauguration, have made the regulatory landscape for zero-emission mobility in the US, difficult to navigate in the near term, with several regulations at risk of being revoked or being fought over in US courtrooms. The first one on the left, is an executive order that instructs all government agencies to immediately pass the disbursement of funds to the IRA and to the Bipartisan Infrastructure Law. These are two acts of governments that give subsidies for the clean hydrogen industry and for zero-emission mobility. The suspension of funding will last for 90 days, while they are being reviewed and this will pause further funding to the seven regional clean hydrogen hubs, which are eligible for a combined $7 billion of funding and for the $3, a kilo hydrogen production tax credit. The second one is around emission standards. California has been granted a waiver to set its own emission standards that are stricter than the federal emission standards that are set by the Environmental Protection Agency. The new administration is considering revoking this waiver, as was also attempted during the first Trump administration, without success, I should say. The third is the Advanced Clean Fleets rule, originally put in place to mandate fleets, to buy zero-emission vehicles. This requires a waiver from the EPA. The California Air Resources Board filed for such a waiver in November 2023, but withdrew it in January, with the expectation that the new administration would not approve it. And then the fourth one, the Advanced Clean Truck rule, requires truck manufacturers to sell an increasing percentage of zero-emission vehicles in California through 2035. The EPA has already granted a waiver for this and there is of course a risk that the new administration will try to revoke the waiver and this will likely lead to a lengthy legal battle. I find it unlikely, that all regulatory measures for clean mobility will be reversed. Several states like California, remain committed to decarbonize the transportation sector. But the industry is not likely to make investment for purchasing decisions, until the situation has become clearer. So we're facing a challenging market backdrop that limits the forward visibility on customer demand for 2025. We're facing a challenging market, and this is especially true for battery electric trucking in North America. With all the uncertainty created by the new administration, customers are sitting on the fence. So we now expect a slower ramp-up than we expected six months ago. The same goes for hydrogen electric trucks, where the only company that's selling hydrogen trucks in the US is facing challenges in that same market environment. The weak sentiment also create difficulties to attract capital for companies in this space. On the hydrogen distribution side, things look better. This business is driven by existing industrial hydrogen demand and less impacted by the delay in mobility. But we see a temporary dip near term, driven by two factors. One, some customers are facing delays on specific new green hydrogen projects, where start of production is pushed out by 6 to 12 months. And two, some customers that took several modules from us in 2024 are still working to commission part of their rapidly growing Type 4 distribution trailer fleet. Where we do have solid visibility for this year is transit bus. Here, we see solid commercial momentum as several cities and municipalities in both Europe and North America are increasingly adopting hydrogen buses into their fleets. This all means that the forward demand visibility for 2025 is low, and this has had a negative impact on order intake. The order book at year-end was NOK 726 million, of which approximately 90% is for delivery in 2025. This is significantly lower than what we would need to have sufficient visibility for the full year. We're comfortable on transit bus, which is the majority of what you see in the hydrogen mobility part, but hydrogen infrastructure is on the low side and the battery electric mobility volume for this year is still uncertain and hard to predict at this point given the political situation in the US. If we go back six months, remember that the main growth driver for '25 was to be truck volume in the US market, mainly battery electric, but also hydrogen. So we're hit hard by the uncertainty around policy and legislation. So we have some challenges to navigate, but I am confident that we are well positioned to navigate through them. Over the last few years, we've taken several important steps and built a company that's rigged for growth. To start, we have strengthened our customer base and established ourselves as a preferred supplier in most of the segments where we operate, enjoying high market shares. Second, we improved our EBITDA performance. We have positive gross margins in our hydrogen business and see that we get to positive EBITDA where we have good capacity utilization. And we have completed an expansion program that takes our revenue capacity well above NOK 6 billion. Unfortunately, we now face an uncertain market outlook with limited forward visibility on customer demand, and this requires action. We have built a cost base to handle future growth. With the current cost base, we need higher revenue to be profitable. And with no clear visibility to that higher revenue, we need to adjust our cost base down to a lower revenue breakeven point. And we've already started to take action, focused on cost discipline and capital discipline. First, we are launching a cost reduction program to adjust our cost base to the current market environment. We will cut annual cost by NOK 200 million, which involves a workforce reduction of approximately 15% and a reduction in other SG&A costs. And then we are reviewing our business portfolio to make additional adjustments needed to cut cost to lower the breakeven point and to secure the cash runway. Cost discipline and capital discipline is key. One decision that we have already taken is that we will exit our engagement with Cryoshelter. We believe that liquid hydrogen storage could be relevant for heavy-duty trucking in the future and the Cryoshelter technology looks attractive and competitive compared to other technologies. But liquid storage technology is significantly more complex and less mature than compressed hydrogen storage technology. And with hydrogen mobility in the heavy-duty space pushed out towards the latter part of the decade, it's not likely that liquid hydrogen will be commercially attractive until well into the 2030s and until then, it would require significant funding over many years to develop the technology to a commercially mature product. That's not something that we can prioritize in the current market environment. We need to spend our money wisely, so we prioritize to deploy cash in our other businesses that have much quicker return on capital. So cost discipline and capital discipline is the key priority. When we raised capital in October, it was with the expectation that the proceeds would last until cash breakeven. That's still the target. Capital discipline is our key priority. We're now in process of reviewing our plans in light of the current market environment with a key objective to secure the cash runway, to shorten the time to profitability and to reach cash breakeven with the capital we already have on our balance sheet. So, in conclusion, a positive year, where we continued making progress, albeit not at the pace we expected. The forward market outlook is uncertain, so we are taking action to mitigate this, so we can secure the cash runway and accelerate the path to profitability. So let's move on to the financials. Salman, over to you.
Salman Alam: All right. Thank you, Morten, and good morning everyone. Let's have a closer look at the Q4 and our solid full year 2024 results. In the fourth quarter of 2024, revenues were up 8% on the same period last year to NOK 396 million. The end to 2024 ended up being weaker than what we had expected going into the last quarter of the year, which was predominantly due to delay of completion of certain customer deliveries, which we expect to complete in 2025 and certain customer orders being shifted from 2024 to 2025. Our full year revenue ended up 42% at close to NOK 1.9 billion. For the full year 2024, the main drivers of revenue growth were our hydrogen infrastructure and hydrogen mobility businesses and in Q4, we also saw a meaningful contribution from our battery electric truck business with the first deliveries of trucks to Hino. Total operating expenses ended at NOK 500 million in the fourth quarter which is slightly up from the NOK 494 million we had in the same quarter last year. Breaking down the main components of our operating expenses. Our cost of materials ratio was 58% in the quarter compared to 56% in the same period last year. For the full year 2024, the cost of materials ratio ended at 58%, which is down slightly from the 59% we had in 2023. Payroll-related expenses were NOK 170 million in the quarter, up from NOK 166 million in the same quarter last year, but meaningfully down compared to the third quarter of this year. The sequential decline was driven by a lower activity level, contribution from the CVIC funding grant in Canada and capitalization of certain payroll-related costs for product development. Subtracting total operating expenses from total revenue, EBITDA ended at minus NOK 104 million in the fourth quarter at a margin of minus 26%. Full year EBITDA ended at minus NOK 348 million which is in absolute terms almost NOK 100 million year-over-year improvement. Similarly our EBITDA margin for the full year ended at minus 19% which is as expected a significant improvement compared to the minus 34% margin we posted in 2023. Moving below the EBITDA line, we had a few one-off items in the quarter. Besides the usual items under depreciation and amortization impairments of NOK 353 million were made in the fourth quarter. The majority of this relates to an impairment of goodwill in Germany and a write-down of fixed assets related to our Chinese operations. Losses from investments in associates ended at minus NOK 29 million and was higher than in previous quarters. This is partly due to an impairment charge related to the company's shareholding in Cryoshelter on the back of the decision to exit this venture. Finance income in the fourth quarter was NOK 15 million about NOK 7 million comes from interest on bank deposits and about NOK 5 million relates to foreign exchange fluctuations. Finance costs in the fourth quarter was NOK 139 million and were also impacted by the write-down of our debt position in Cryoshelter, which was NOK55 million. Furthermore, NOK 56 million of the finance costs were related to non-cash interest on the two convertible bonds we have outstanding and another NOK 12 million was related to lease liabilities and other interest-bearing debt. At group level we are not yet in a taxable position. Tax expense in the quarter was minus NOK 2 million. Subsequently due to impairments loss after tax ended at minus NOK 667 million versus minus NOK 185 million in the same quarter last year. Moving to look at the segments now one by one starting with Hydrogen Mobility & Infrastructure. This segment manufactures hydrogen cylinders and hydrogen systems for the storage of hydrogen onboard either off-road or on-road vehicles or for infrastructure purposes including the distribution of hydrogen from the point of production to the point of consumption. It also includes our industrial gas business in Europe and aerospace business in the US. Revenue in the fourth quarter was NOK 355 million for the segment more or less unchanged compared to the same period last year. The largest revenue component was hydrogen infrastructure solutions which made up 62% of the revenue in the quarter. As usual hydrogen distribution modules made up most of the revenue in this application vertical and in the quarter we had product deliveries to customers like Air Liquide. The second largest application was the hydrogen mobility business which made up 22% of the revenue in the quarter for this segment. The major driver of revenue in the quarter was transit bus where we made deliveries to customers like Solaris and New Flyer. We saw lower activity within the heavy-duty vehicle vertical in the fourth quarter and that lower activity level is expected to continue going into 2025. The other segment which consists of our industrial gas and aerospace business had slightly lower activity in the quarter compared to last year and made up 17% of revenue. Full year revenue which were just shy of NOK 1.8 billion and up 40% compared to 2023. EBITDA turned negative in the fourth quarter and came in at minus NOK 25 million or minus 7% margin as revenue dropped below the EBITDA breakeven point as you can see on the right-hand graph. For the full year we were close to EBITDA breakeven and EBITDA ended at minus NOK 12 million or minus 1% margin which is a significant improvement in profitability compared to 2023. Moving on to the Battery Systems and Vehicle Integration segment. This is the business unit that engages in battery systems production and complete vehicle integration of battery electric vehicles for the North American market. We also have a complete suite of proprietary key components required for electrification of heavy-duty trucking and many of them are IP protected. Revenue for BVI in the fourth quarter was NOK 47 million up from NOK 9 million last year. The growth is mainly driven by shipment of the first battery electric trucks to Hino coupled with delivery of battery systems to Toyota. For the full year 2024 revenue ended at NOK 97 million up from NOK 40 million in 2023. Looking into 2025, we're seeing a back-end loaded year, as serial production for the Hino program, is expected to commence during the summer months. EBITDA for the segment was largely unchanged in the fourth quarter and full year 2024, compared to comparable periods last year. Zooming at the end, to the group level and moving on to our balance sheet, the total size of the balance sheet at the end of the fourth quarter was approximately NOK 4.9 billion. On the asset side the NOK 1 billion equity raise we announced in October was completed during the quarter boosting our cash balance to north of NOK 1 billion at the end of the fourth quarter. Due to the impairments described earlier today, intangible assets and property plant and equipment was down compared to the carrying values we had earlier in the year. And working capital was unchanged quarter-over-quarter, where inventory was slightly up, but was canceled out by a significant reduction in accounts receivables and an almost equal reduction in accounts payable. The movement in equity and liability side of the, balance sheet are mainly a mirror of the changes already described. The equity ratio at the end of the fourth quarter improved to 43%. So now moving on to the cash flow statement which benefited significantly from the equity raises that, we completed. Operating cash flow in the quarter was minus NOK 99 million and covers the non-cash charges already described. Cash flow from investment ended at NOK 112 million where NOK 66 million related to the capacity expansion program. The capacity footprint is now more or less in place and we expect the final payments after acceptance testing to be paid during the first half of 2025. When looking back at the CapEx guidance for 2024, we said we expect to spend slightly north of NOK 500 million for property plant and equipment related to the capacity expansion program. We've tracked pretty well according to this guidance and about NOK 428 million has gone towards purchase of property plant and equipment in 2024. The remaining approximately NOK 90 million to NOK 95 million will be paid in 2025. Cash flow from financing was NOK 953 million in the quarter, where the main item was the net proceeds from the equity capital raise completed during the quarter. Subsequently, net cash flow in the quarter was NOK 742 million resulting in a cash balance of NOK 1.028 billion at year-end. So in conclusion, a solid set of results for the year with a disappointing Q4 compared to what we've expected. The Hydrogen Infrastructure & Mobility business developed encouragingly from a profitability perspective in 2024 being almost breakeven -- EBITDA breakeven for the full year. We start 2025 with a solid balance sheet following our capital raise and capital discipline will be an absolute key priority for us going forward. With that, back to you Morten.
Morten Holum: Thank you, Salman. Let's look ahead, and talk about what we're expecting for the coming few years. We have limited visibility going into 2025. This is fundamentally an emerging space. We are still at the early stage of industry development, with limited stability. Up until now, we have had, I would say decent forward visibility on customer volume. We've had enough irons in the fire to have good line of sight to targets, even if some planned deliveries were delayed or canceled. So that has given us enough comfort to provide guidance. Now the situation is different, with higher uncertainty with lower forward visibility the range of outcomes is wider and we don't think it's prudent to provide specific guidance for the year without sufficient comfort to back it up. So we will postpone further guiding until we have better visibility. For this year, we expect a weak first half of the year with a stronger second half. That's based on dialogs we are having with customers, and how we assess the current situation in the U.S. and the near-term uncertainty there. The first quarter looks particularly challenging, and we expect a significant sequential revenue decline from Q4 2024. So to give you a bit more insight into how we see the market, I'd like to take you through the different product areas in a bit more detail to provide some additional color on the status and underlying dynamics of each customer application. Transit looks really good. We see higher adoption of hydrogen technology in public transportation and our commercial momentum is strong both in Europe and North America. In Europe, hydrogen buses are gaining broad momentum across the continent backed by strong regulatory support. The EU is targeting 100% of city bus sales to be zero-emission by 2030. And hydrogen is a good complementary technology to battery electric, particularly in cold or hot climates. So with strong policy support, we see an increasing number of bus OEMs introducing hydrogen platforms as part of their zero-emission offering, which is an important factor to drive adoption. Customers get more options to choose from and can select between several different commercially viable options. And as the number of available models grow, we also see an increasing number of cities integrating hydrogen buses into their fleets as a complementary drive-train option. In the U.S. the demand for hydrogen transit buses is more localized with California spearheading the adoption of public zero-emission transportation. The California Air Resources Board requires all new transit bus purchases to be zero-emission by 2029. So there is strong regulatory support in place and this is largely backed by state-level policies rather than federal support. New Flyer, the leading North American transit bus manufacturer, has had hydrogen buses on the road for several years and is serving a growing number of cities. The runner up in North America, Gillig is introducing their new hydrogen transit bus offering in 2026, and we are a supplier to both of these largest bus OEMs in North America. So, we're well positioned with high market shares. And last week we also announced that we have extended a long-term agreement with one of our European transit customers and this is for our latest generation of hydrogen fuel systems, which are more profitable systems for us coming out of our new Kassel facility. And it's always comforting to see that we're able to renew long-term agreements with customers. So the demand outlook for transit looks solid. We expect that hydrogen distribution will continue to be an attractive market going forward, and we're well positioned with the most competitive offering in the market. The hydrogen distribution part of our business serves two main customer types; the traditional industrial gas players and the emerging new green hydrogen players. Most of the hydrogen being transported today is driven by industrial hydrogen demand followed by mobility. We have an attractive product offering agnostic to the color of hydrogen and equally relevant for green and gray hydrogen. This is important since most of the hydrogen being transported today is gray. And more importantly, though, our Type 4-based distribution modules have a lower TCO than traditional steel-based distribution trailers, which makes them an in-the-money product for our customers. The growth in the past few years has been driven by two main factors; one, industrial gas players buying modules to replace less cost-efficient steel tube trailers. And two, the growing use of hydrogen, so more molecules that needs to be transported from A to B. These two factors are still relevant going forward. On that first factor, the industrial gas players have large existing fleets of old steel tube trailers. These have lower upfront cost but are far less cost efficient in operation than our Type 4 distribution technology. So with a higher TCO for almost all use cases, the industrial gas players are increasingly replacing the old steel tube trailers with the new Type 4-based distribution modules. And then the emerging green hydrogen players, they don't have the same legacy fleet and typically go directly to Type 4 distribution technology. So demand with these players is linked to continued growth in availability from new hydrogen projects, so more hydrogen that needs to be transported. We expect this market to continue growing in the coming years, but we also do expect a temporary dip in 2025, for two main reasons. The first one, a few of our largest customers will have delayed the start of new green hydrogen capacity, where construction delays have pushed SOP from 2025 to 2026. And second, many customers that took high volume from us in 2024, are still working to commission their rapidly growing fleet of Type 4-based modules into the market. So their demand will be temporarily lower. Because of those two factors, we expect a weaker first half of the year, but have signals from customers that the second half of the year will be stronger and it will be important for us of course, to convert these signals into firm orders, during the next few months and monitor the order intake closely. So we remain confident in the attractiveness of the hydrogen distribution area, and we are market leaders. And also keep in mind that the segment was EBITDA positive at 2024 levels. So, we're not dependent on significant growth to remain profitable in this area. Moving on to hydrogen trucking. There we have limited expectation for demand in 2025. Most incumbent OEMs, have postponed their model introduction to around the 2028 time frame. And the only OEM that currently has a model in serial production, Nikola, is facing their own specific challenges and an uncertain future. We do expect to deliver some heavy-duty truck systems over the next years to other customers, but this will be rather low volume. Realistically, we don't expect to see meaningful demand in the near term. Longer term though, we expect this to be a very attractive market segment. Several leading truck OEMs plan to introduce hydrogen trucks towards the end of this decade and we're confident that we will be a competitive supplier. But until then, we expect demand for heavy-duty truck to remain muted. And the largest and near-term uncertainty is, heavy-duty battery electric trucking in North America. That's really unfortunate, because this is where we expected a significant part of the growth in 2025 to come from. We have put together the first few trucks and have started showing them to dealers in California. The initial feedback on the product is great, and the dealers are confident that there will be good demand for these trucks, provided the existing regulatory support structures and incentives remain in place. And keep in mind, that this truck is not for long haul. It's mainly going to serve drayage and metro regional duty cycles that don't depend on fast charging to a large extent, and there aren't any comparable zero-emission truck offerings, in that market segment today. But the key issue now, is that customers are sitting on the fence, waiting for the dust of uncertainty that's been whirled up by the new administration, to settle before making purchasing decisions. While we have good indications that there will be demand for these trucks, the ramp-up curve will be slower than what we expected six months ago. So, we're now delivering the first wave of demo vehicles and we'll plan to start regular deliveries by the middle of the year. And then there are several near-term market opportunities in other hydrogen mobility applications, such as, rail and maritime. Although, the long-term potential is large for both of these applications, it's early days so volume will likely remain low near term. But keep in mind that, these systems can be manufactured on the same lines that we used for distribution in bus and truck. So, it does help our utilization. This is one of the benefits of our flexible setup, combining volume from several different applications to achieve meaningful commercial scale, before any one application reaches mass adoption. We also have a stable NOK 150 million to NOK 200 million base business in industrial gas bundles. And we're also seeing growing demand for aerospace, which is a NOK 50 million to NOK 200 million revenue segment with solid profitability. So far, my comments have centered on Europe and North America, but we also have exposure to China. And China is an attractive market opportunity for both hydrogen distribution and mobility. While the hydrogen space appears to be a bit crawling forward in Europe and North America, it's the opposite in China. There, it's accelerating. China targets global leadership in hydrogen technologies, much like they have done for solar, for batteries, for electric vehicles and so forth. So since 2020, annual hydrogen vehicle sales have grown around 5x. And the total FCEV fleet size is now approaching 30,000 vehicles, which is more than halfway towards the '25 target of 50,000 vehicles. This is an ambitious target, and it clearly shows the direction and pace of adoption that China has put on hydrogen mobility. There are more hydrogen vehicles on the road in China today than in the rest of the world combined. Two important hydrogen-related milestones for China. First, China exceeded their 2025 hydrogen production target of 200,000 tonnes per year already in '24. They've also exceeded their target for installed renewable energy capacity. And then second, at the end of last year, China reclassified hydrogen in their energy law from a hazardous chemical to a clean energy resource. The main impact of this reclassification is speed. It transfers management of the sector into a different legal and regulatory framework that simplifies approvals and paves the way for a more structured, accelerated and expansive development of the hydrogen sector. Our joint venture facility in China has been completed, and we're now ready to ramp up production. The challenge so far has mainly been local certification requirements, where there has been an implicit requirement to have a Type 3 license before being allowed to enter the Type 4 certification process. This now appears to have been cleared. So we're now entering the formal local certification process. We have received factory approval to manufacture under European certification, which means that we will use the assets in China to produce cylinders for Europe while we are waiting for the local certification. And we will also explore possibilities to utilize the equipment for deliveries to other Southeast Asian markets. So China is an attractive market, and we have a great partner in CIMC Enric, the leading clean energy equipment provider in China. So we're confident that we will be competitive in the local market once we are certified. Hexagon Purus is well positioned across core applications and uniquely positioned to navigate the challenging environment we're in. We have a narrow technological core that we can use to address a wide range of application, which allows us to reach profitable scale at lower volume. We have a flexible and vertically integrated manufacturing setup with multipurpose equipment that creates cost advantages and the ability to flex to different volume scenarios. We have a solid customer base and a diversified product offering with sizable exposure to customer segments that are less impacted by the delay in renewable energy and new green hydrogen capacity. We don't need mass adoption of mobility to have a healthy, profitable and cash-generating business. Our main priority is to reach cash flow breakeven with the current cash on hand. The near-term market outlook deteriorated following the US presidential election and the weaker outlook means that we have had to revise our plan, take corrective measures to lower the breakeven point. And we're now in process of reviewing our business portfolio and given the limited visibility ahead, it's prudent to plan for more than one demand scenario. We're now in process of reviewing our business portfolio and given the limited visibility ahead, we, as I say, need to plan for more than one demand scenario. Our current setup and our cost structure is not set in stone. We can change it and we will change it if necessary to reach our main objectives. So we're going to monitor the market development very closely in the weeks and months ahead and prepare to adjust to whatever market environment we will be facing. We're not underestimating the challenges. We have already started taking action to course correct, while we still have good control of the situation and we're prepared to make any adjustment needed to reach cash breakeven with our current cash at hand. That concludes our presentation for today and we will now open it up for Q&A. Mathias?
A - Mathias Meidell: So I guess we can start immediately with a question from Helene Kvilhaug Brondbo. This is for you, Salman. Can you walk us through the rationale behind your impairments in Q4?
Salman Alam: Yes, we can. So, I think Helene the standard operating procedure especially around the year-end is to do an impairment test of your main cash generating units. And so we did that and the results of that impairment test is what was reflected in the P&L in the fourth quarter.
Mathias Meidell: Thank you, Salman. And then a follow-up from Helene as well. Can you shed some more light in the guided 15% reduction in workforce? What will the timing be? Will there be reductions happen? Where will the reductions happen? And should we expect any one-off costs related to the layoffs?
Salman Alam: Yes. So, as mentioned on the call, we are taking action now to secure our cash runway and lower our cost base and breakeven point. So we're terminating about 15% of our employees at the group level. That's 25% in the Kassel facility in Germany and about 40% in the footprint we have in the battery systems and vehicle integration business. There will be one-off costs related to that and we'll come back to that in the first quarter.
Mathias Meidell: Thank you, Salman. And then a 2-part question from [indiscernible]. I'll make it shorter. So the first question is for you Morten and it's about the Tern RC8. Can you say anything today about the outlook short and long term regarding production volumes and expected sales and have you gotten any customer feedback yet?
Morten Holum: Yes. So, I think first of all, the visibility isn't so that we can give any comfort on numbers and growth. That is clear. The truck itself, we expect to sell. We have good feedback. We've had the truck out with dealers that have had an opportunity to test drive it. We're about now to put a fleet of trucks which will also be in customer hands. Everybody that has tried the truck is super happy with it. So we are confident that we will have volume for this truck. But then the uncertainty that we see in terms of when customers are making purchasing decisions, leads us to be a bit cautious on guiding for what we expect for that this year, but we are confident that the truck will sell.
Mathias Meidell: Thank you, Morten. And then the second part of his question related to China. Could you please add some color to the Chinese joint venture when it comes to the ongoing certification process there? And how do you view the outlook short term and longer term once the process is concluded? Are there for example any potential customers amongst the OEMs waiting in the wings for hydrogen fuel cell systems?
Morten Holum: Yes. I think China is a very attractive market. It's a market that's moving very rapidly. So far the overall market has been type three based because type four hasn't been allowed in the Chinese market. Lot of activities ongoing with certification not just from us but from many players. We have a very strong legacy with this technology. There are competing players at the market. But together with CIMC Enric we're very confident that we will be a very competitive player in the market and there are multiple OEMs and multiple things going on the distribution side. So once we are ready and we're certified we're comfortable that we will be competitive and we're confident that the volumes will be growing rapidly in the Chinese market.
Mathias Meidell: Thank you, Morten. And then a question for you Salman from Martin. You are reducing workforce. If demand picks up again will you need to invest additional CapEx to get back to your current production level?
Salman Alam: No we will not need to invest additional CapEx. This is mainly a question about manpower. So with the uptick in demand we can quite easily get people back into production and increase volume.
Mathias Meidell: Thank you. And then another question from Martin. Can you remind me what the contract value you signed with Nikola and do you still expect orders from Nikola?
Salman Alam: Yes. The Nikola contract -- the frame contract that we signed with them back in 2021 that had an expected value at that time exceeding about €200 million. Right now we have no Nikola orders in the backlog.
Mathias Meidell: Thank you, Salman. And then a question from Fabian Jorgensen. Morten, what strategic initiatives for the business portfolio would you consider first?
Morten Holum: I think our main objective now is to reach cash flow breakeven and EBITDA breakeven with the cash we have at hand. And we have just raised capital we've got a solid balance sheet. We have to adapt that structure to whatever environment that we are seeing going forward. Right now the uncertainty is higher than normal. We are addressing that by immediately reducing costs to take down the breakeven point and then going forward we will assess all our activities. We will assess our entire portfolio and we will do whatever amendments to that that we feel is prudent in order to meet our objective.
Mathias Meidell: Thank you, Morten. And then another question from Fabian. Salman what level of cost saving do you expect for 2025?
Salman Alam: Yes. So I think we were both looking at reductions in terms of number of employees, but we're also looking at the reductions in other SG&A spend. So those two categories combined will make up the majority of the cost savings that we're employing now. We expect to capture a large share of the NOK 200 million savings in 2025 and then starting from 2026 we expect the full impact of that. And then I think there was also initially Mathias the question about the timing of the layoffs that we're doing and I can answer that now as well. So the timing is mainly in the first half of the year.
Mathias Meidell: Thank you. And then a question from Martin here as well. Do all your orders in your HMI business have positive gross margin and will EBITDA for HMI be positive in 2025?
Salman Alam: Our gross margin on the hydrogen side of the business is strong. It was double-digit in 2024 and the infrastructure business was also in the high single-digit EBITDA margin positive. So we have good margins in the hydrogen business. Thank you.
Mathias Meidell: Thank you. And then a question from Thomas Dowling Næss. Will your lease expenses remain unchanged or are you planning to shut down capacity? Salman?
Salman Alam: So I think, as mentioned, we are looking at all options now across our portfolio to see what's prudent to do going forward, and so we wouldn't rule that out. But with the current footprint we have, the lease payments would stay unchanged.
Mathias Meidell: Thank you, Salman. And then a question from Elliot Jones. Can you shed some more light on to your cash burn aspiration for 2025 versus 2024 levels? Morten?
Morten Holum: We have a solid balance sheet at this point, and we have a cost base, which is flexible and can be adjusted to many different demand scenarios. The uncertainty is a bit higher than normal now, which is why we are not providing specific guidance until we see a clearer picture. But our main target is to make the current cash last until we are EBITDA and cash breakeven.
Salman Alam: I think just to add Mathias as well as, Elliot, if you look at 2024 versus 2025, the 2024 was for all material respects the last year of our capacity expansion program. So that's behind us now. So very big part of that CapEx piece has already been taken. Working capital, we've spent a lot of time in 2024 renegotiating some of our key supplier agreements and the main effect of that is going from essentially prepayment to credit terms, which has a big impact on working capital and we should see that benefit from 2025. So there's definitely a more capital-light environment in 2025, you may say, versus 2024.
Mathias Meidell: Thank you, Salman. And then a question on -- from Martin on tariffs. Will you be hit with tariff when you produce in China and deliver to Europe from there?
Morten Holum: There is no indication that we will be hit with tariffs from China. There's China-U.S. tariffs but not China-Europe.
Mathias Meidell: Yes. And then a question on competitors to you Morten. What are your main competitors in the hydrogen infrastructure business, and what are your main competitors in the hydrogen mobility business?
Morten Holum: So we have different sets of competitors. We have some Tier-1, mainly automotive type suppliers on the mobility side. On the infrastructure side, it's much more scattered. There are some smaller players, also some legacy players that are in this space. But I think where we stand out between all of this is that, we're the only one who is vertically integrated, and one of the few that does everything on the container frame itself and the cylinder, which makes us quite flexible and quite competitive on the cost side.
Mathias Meidell: Thank you, Morten. And then, a follow-up question from Elliot. Salman with regards to the cost reduction program, you partly answered some of it. But when can we expect cost and savings to begin and be completed by?
Salman Alam: Yeah. So the process starts now. And we expect to be done with most of the redundancies during the first half of this year and then, the other SG&A spending that will be taken throughout the year. So 2025, again we expect to capture a large share of the savings in 2025. And then the remaining will take effect from 2026.
Mathias Meidell: Thank you, Salman. And then, another question from Thomas Dowling Naess here, could you please elaborate what you mean with a solid balance sheet? Morten?
Morten Holum: I think that's fairly simple. We entered this year with NOK 1 billion of cash. So it's not a reference to anything other than that. NOK 1 billion in cash gives us ability to maneuver. And it prevents us from having to think about raising capital in the short-term here, right? We have time to rig our system down to the point where we can reach cash breakeven before the current cash runs out.
Mathias Meidell: Thank you, Morten. And then a question from [indiscernible]. How will Hexagon plan the business and revenue from 2026 and onwards? Will the current cash last until cash and EBITDA breakeven?
Salman Alam: I think this is the same answer that I've given previously. We see different demand scenarios ahead. It's a bit uncertain but we have a cost base and a setup that allows us to flex. If we see lower demand we will reduce capacity cost. If we see higher demand, we can increase the capacity. And we will adjust our platform to whatever market environment that we see. And then, get to the EBITDA and cash breakeven point, before the cash we have on our balance sheet today runs out.
Mathias Meidell: Thank you. And I think that actually concludes the questions for today. So with that, I thank you both Morten and Salman and everyone else, for listening in today. And on behalf of Hexagon Purus, I would like to thank you all, for spending time with us this morning. And we look forward to seeing you again soon. Thank you very much.
Morten Holum: Thank you.